Theto Maake: Good morning, ladies and gentlemen. I'm Theto Maake, Head of Investor Relations at Valterra Platinum. Thank you for taking the time to join us for our interim 2025 results, both in person as well as online. Let me start by welcoming our Chairman, Norman Mbazima, members of our Board that are here with us today as well as our executive leadership team. From a housekeeping perspective, we do not have a planned fire drill today. And therefore, if there is an alarm or in case of an emergency, I'm going to request that you exit using the class doors to my left and right. At that point, you will have both our fire marshals and security to escort you to our designated assembly point. With that said, I would like to draw you to the cautionary statement and would appreciate if you can read this in your own time. Now on to the agenda for today. Craig Miller, our CEO will take you through a brief overview of the significant milestones achieved in the first half of this year, followed by a review of our operational and market performance. Sayurie Naidoo, our CFO, will then take you through our financial results. Finally, Craig will wrap up today's session by taking you through our outlook for the second half of the year and the medium term. As usual, we have allocated time for Q&As at the end, which I will come back to help and facilitate. Without further ado, I'm going to hand over to Craig, who will take us through today's interim results presentation. Thanks.
Craig W. Miller: Thank you, Theto, and good morning, everybody. Once again, thank you very much for joining us at our maiden half year results at Volterra Platinum. As you know, we've had a very busy start to the year, but it is customary for us to start with safety. Safety remains our foremost priority. So it is with deep regret that we've experienced a fatality at Unki on the 20th of April, where Mr. Felix Kore lost his life in a mobile machinery-related incident. I'm also very sad to say that we recently experienced a fatality at Dishaba section of the Amandelbult's mine, where Mr. William Nkenke lost his life on the 26th of July in an incident related to a grout pack. On behalf of the entire Volterra Platinum family, we convey our sincerest condolences to Mr. Kore and Mr. Nkenke's families, friends and colleagues. While we mourn losses, we also recognize the achievement of significant milestones across our operations, which reflects our continued dedication to achieving zero harm. These include being 13 years fatality-free at Mogalakwena and Mototolo mines, 9 years fatality-free at Amandelbult's Tumela mine and more than 2.5 years lost time injury-free at the Polokwane smelter. We've also seen an improvement in our total recordable injury frequency rate of 12% to 1.46. We're pleased to highlight that we've made substantial progress against our strategic objectives, which we shared with you during our Capital Markets Day just a few months ago. We have successfully completed the demerger from the Anglo American Group as well as our secondary listing on the London Stock Exchange. And as you would have seen in the media and all around you today, we've established our own new brand identity. With the recent appointment of independent nonexecutive directors, we've now concluded the recomposition of our Board. We've also successfully transitioned from the Anglo American centralized services with the majority of these services now being performed internally. The balance are subject to transitional service arrangements with the longest of which is about 18-month period, at which point we'll be able to -- we'll be in a position to be able to do these activities ourselves. These developments, together with our simplified and fit-for- purpose executive committee and organizational structure, which we discussed in great detail earlier this year, demonstrate that we've delivered on our strategic priority to achieve a simplified and strengthened organization. Our second strategic priority relates to achieving operational excellence. We'll go into this in a bit more detail throughout the presentation, but let me talk you through just a few highlights. We've delivered a resilient operational performance despite the impact of inclement weather across the portfolio, the most severe, which was at the Tumela section of Amandelbult. I'll unpack this in a bit more detail later, but we have delivered a further ZAR 2.1 billion in cost savings during the first half of 2025, and we're on track to meet our full year guidance of ZAR 4 billion. Part of our strategy is to invest in our portfolio for maximum value and to reemphasize, our focus is value over volume. The completion of the Sandsloot underground project pre-feasibility study is a key step in bringing this exciting value-enhancing opportunity to fruition. The Der Brochen shaft is progressing well, having delivered first ounces in the first half of the year. And what we're most excited about is the rally in the PGM prices. It's pleasing but not surprising to see that the basket price recovery and our ability to be able to deliver into that in the second half of the year. And last but not least, during the period, Mogalakwena was IRMA accredited, meaning that all our owned assets have achieved the all-important IRMA accreditation. And according to ChatGPT, we're the only precious metal mining company in the world that has all our mines IRMA accredited, quite something. So how does all this translate into our first half performance? The realized market price during the first half increased by about 5% in U.S. dollar terms, but this doesn't fully capture the recent momentum in prices. Since the beginning of July, prices are up about 20% on the quarter so far. EBITDA margin was solid before the impact of once-off demerger- related costs and the flooding events at Amandelbult. Despite these one-off impacts, our all-in sustaining cost remains below $1,000 per 3E ounce. We've maintained a strong balance sheet despite having paid ZAR 16.5 billion in the final 2024 dividend and notwithstanding the operational headwinds and demerger costs, which I've mentioned. We closed the period with approximately ZAR 5 billion of net debt. Our solid financial performance and strong balance sheet has positioned us to maintain our dividend policy, and the Board has improved an interim dividend of ZAR 2 per share or ZAR 0.5 billion. So turning to our operational performance. We produced just under 1.5 million ounces of PGMs of metal in concentrate and approximately 1.4 million ounces in refined production during the period. Despite the significant external headwinds, our mines demonstrated a resilient performance, while our processing operations delivered a credible one. At Mototolo and Amandelbult, our concentrator recoveries improved by 3 and 4 percentage points, respectively, whilst we achieved a 2 to 3 percentage point uplift in our chrome yields. We also achieved a 9% improvement in mass pull across the portfolio. And at Mogalakwena, we're seeing early encouraging progress through the initial commissioning and optimization of the Jameson cells. So specifically at Mogalakwena, total material moved reduced by 15% year-on-year, demonstrating traction from our pit optimization strategy. While ore tonnes mined remained flat versus the first half of 2024, reflected increased mining efficiencies. The head grade for the period was around 2.5 grams per tonne, slightly below our guided range of 2.7 to 2.9 grams per tonne. This was due to the planned processing of lower-grade stockpile materials to supplement ex-pit ore volumes. In the second half, we expect to process a greater proportion of higher grade ore from the targeted sections in supporting a recovery in grade in line with our full year guidance. Our metal in concentrate production increased by about 2% year-on-year, and our optimized mining sequence positioned Mogalakwena for a significantly stronger operational performance in the second half of the year. So turning to Sandsloot underground. Just to recap what we said in March, we're taking a phased approach to the development of the Sandsloot underground in order to preserve capital and progressively derisk the project as we move through feasibility. The first phase, if it meets our capital allocation criteria is a trucking solution, which will support an initial production rate of roughly 2 million to 2.5 million tonnes per annum. If Phase B meets our capital allocation hurdles, we'll then expand the ore logistic infrastructure to include a conveyor system, allowing the mine to gradually ramp up to around 5 million tonnes per annum but post 2030, unlocking the full potential from Sandsloot. Moving to the next slide. The pre-feasibility study for the Sandsloot underground project was completed during the first half of the year. The results confirm that the key parameters outlined in our Capital Markets Day remain intact. These include reef grade of 4 to 6 grams per tonne, significantly higher than other mechanized underground mines in Southern Africa as well as a competent hanging wall and favorable mining width with an approximate reef height of 45 meters. The image on the screen shows a cross-section of the reef intersection with the white line indicating high-grade contact with the reef to the left. All these characteristics make the ore body amenable to efficient bulk mechanized underground mining, making Sandsloot a highly value-accretive growth prospect for Volterra Platinum. The feasibility study is underway and targeted for completion in the first half of 2027, at which point we'll be in a position to make an informed investment decision. We also continue to make solid progress on the development activities at Sandsloot. In the first half, we completed about 12.8 kilometers of underground exploration drilling and 1.6 kilometers of decline development. This brings the cumulative total of 43 kilometers drilled and 8 kilometers developed. Trial mining will also be undertaken over the next 18 months as part of the feasibility study, followed by a ramp-up to the Phase 1 steady state towards the end of the decade. 31,000 tonnes of ore stockpile has been accumulated at the end of June and will be processed through the concentrator facilities as part of the feasibility work. We've also reduced our current year CapEx guidance from ZAR 2 billion to ZAR 1.5 billion, while guidance for 2026 and 2027 will be between ZAR 1.5 billion and ZAR 2.5 billion per annum. So turning to Amandelbult. Whilst the extreme flooding at Amandelbult was not in our control, the manner in which the team on the ground responded is commendable. To contextualize the extent of the flash floods, the historical average rainfall for Amandelbult in the month of February is around 300 millimeters. On the 19th of February, we had 300 millimeters of rainfall in just over a 24-hour period. A neighboring river burst its banks and the upstream dam wall also failed. Part of Amandelbult was inundated with water, particularly Tumela, which was severely flooded. We were able to leverage from the extensive experience of the management team, some of whom were at the flooding event, which took place in 2008. Within a month, Dishaba and Tumela Upper recommenced operations and a month thereafter, the open pit sections resumed operations, while Tumela Lower was focused on dewatering. Tumela Lower which accounts for approximately 50% of Amandelbult's production, recommenced ahead of schedule their production in June and are currently ramping up to full production by the end of the third quarter this year. In addition, we've extensively improved our flood defense systems and have developed appropriate response measures to mitigate a similar occurrence. So given the events, it is expected that Amandelbult's production in the first half of the year would be significantly lower than the prior period. But encouragingly, Dishaba production volumes were up 1% despite the impact of flooding, which illustrates the benefits of the restructuring and the drive for operational excellence. Our priority is to ensure the safe ramp-up of Tumela Lower whilst maintaining stability at Dishaba and Tumela Upper in order to meet our guidance of between 450,000 and 480,000 PGM ounces for the year, which implies a material increase in production in the second half. Commensurate with the increased PGM production is the increase in chrome volumes as well, which at current chrome prices makes a meaningful contribution to Amandelbult's economic cash flow. Turning now to Mototolo. The improvements in productivity, increased tonnes milled and enhanced flexibility at Mototolo reflects the impact of our operational excellence initiatives with key performance metrics trending in the right direction. In the first half, methylene concentrate production increased by 4% due to improved output from the 2 existing shafts. Productivity also improved with the PGM ounces per employee up 19% year-on-year, and mining flexibility has improved as well. Immediately available ore reserves increased by 32% compared to the prior period, supported by a 22% uplift in the total development meters. These improvements support Mototolo's continued trajectory to the lower half of the cost curve, whilst the chrome production volumes provide a further reduction in its all-in sustaining cost. So turning to our processing operations. We're on track to meet our full year guidance. Following the Q1 stock count and normalizing processing availability, we've seen a strong rebound in volumes. Refined production rose by 118% quarter-on-quarter, and our base metal output increased 37%. Despite the Jameson cells only being commissioned in April at Mogalakwena and therefore, not fully optimized, we've already seen an improved mass pull of about 9%, with further improvements expected as the optimization continues in the second half. Lower mass pull translates into reduced transport costs, reduced energy use and emissions with a 9% reduction in the total number of haulage trucks on roads. These early wins are aligned with our broader cost and sustainability objectives. Turning briefly to our markets. The largest source of PGM demand is the automotive sector. And we suggested consensus expectations for PGM demand in this sector is too low given both catalyzed vehicle sales and PGM loadings per vehicle, which could surprise to the upside. Taking these in turn, despite tariff and economic concerns, global light vehicle sales rose 5% year-on-year. According to global data, while catalyzed vehicle sales increased by about 1%. While BEVs continue to take market share, a few years ago, catalyzed vehicles were forecast to be shrinking rapidly by now, and industry forecasts have once again been reduced for the medium term as governments, OEMs and consumers reassess the speed of the transition. On PGM loadings, we highlighted in March a raft of proposals by Chinese authorities to strengthen its vehicle emissions regulations. to close loopholes and ensure vehicles meet standards on the road as well as in the lab. In May, one of those proposals was finalized, setting out a broad framework for the supervision, focusing on trucks and hybrids. We expect more decisions in the second half, and this broad approach culminating in China 7 in a few years could result in higher loadings. And finally, Chinese buying has been strong across the PGMs, most notably for platinum. But imports, including metal going into Hong Kong and the turnover on the Shanghai Gold Exchange shown here have been elevated and accelerated throughout the first half. This appears tied to a recovery in Chinese jewelry market, which has struggled for many years. It's clear that there's been an uptick in interest from jewelers looking for a better value proposition than gold. Chinese consumers will likely match this enthusiasm given new collections and the promotional campaigns, which are currently underway. These developments have had a positive impact on pricing. As I said, our realized basket price in the first half was about 5% higher year-on- year, led by gains in rhodium, platinum and ruthenium. However, in July, so far, market prices for the basket have risen by another 20% on those levels with rapid gains for platinum, which has hit an 11-year high and ruthenium, which is now approaching a 2021 high. Despite the rally in the PGM basket price, we continue to believe that the current price levels remain below the thresholds required for operations to generate positive cash flows and to incentivize new production. Briefly turning to supply and demand. The balances are our estimates for 2025 and forecast for 2026 are a little changed from what we shared with you at the annual results in 2024, though there have been some interesting developments. In platinum, we expect continuing deficits at a slightly higher level on the assumption that jewelry demand in China improves as expected. For palladium, we see the markets moving into surplus, but once again at a slower pace than previously anticipated. The 2025 deficit is a little higher than anticipated as risk to auto sales and production from tariffs are offset by lower supply. Rhodium remains in deficit for the next 2 years. Overall, vehicle sales are growing, but there are risks from tariffs and a potential economic slowdown. EV sales are higher, but the uptake is slower than expected from a few years ago. And importantly, investor interest is rising and jewelry demand is a potential positive upside surprise. Mine supply is weaker and recycling is only slowly picking up. I'll now hand you across to Sayurie, who will take you through the financials.
Sayurie Naidoo: Thank you, Craig, and good morning, everyone. I am pleased to report a solid set of financial results for our first reporting period as a stand-alone company. While our financial performance was adversely impacted by the Amandelbult flooding event and expected one-off demerger and separation costs. From a controllable perspective, we continue to demonstrate disciplined cost and capital management. To summarize our performance for the first half of 2025. The company achieved revenue of ZAR 42 billion for the half year, down 19% due to a 25% decline in PGM sales volumes. This was due to lower M&C production, the prior period's release of both up work- in-progress inventories and 3-year lease stock count at the precious metals refinery. This decrease was partially offset by the U.S. dollar PGM basket price strengthening by 5%. EBITDA was ZAR 7 billion after taking into account the one-off demerger costs. This translated into an EBITDA mining margin of 22%. We continue to implement our cost-out program, which delivered ZAR 2.1 billion of operational and corporate cost savings. The unit cost for the first half of the year was ZAR 17,952 per PGM ounce, excluding the impact of the Amandelbult flood and represents a 2% decrease against 2024. We ended the period with a strong balance sheet. Net debt was ZAR 5 billion, including the customer prepayment and net debt to EBITDA was 0.3x, well below our target of less than 1x through the cycle. And in line with our capital allocation framework, the Board declared an interim dividend of ZAR 2 per share or ZAR 0.5 billion, which reflects the payout of 40% of headline earnings. Unpacking our EBITDA. EBITDA was 46% lower at ZAR 6.6 billion. The flooding event resulted in ZAR 4.6 billion lower earnings, whilst the demerger-related costs had a ZAR 1.4 billion negative impact on earnings. Excluding these one-off impacts, EBITDA was ZAR 12.6 billion, 2% higher than the first half of 2024. This was driven by a 3% higher PGM rand basket price at ZAR 27,631 per PGM ounce as well as the cost savings of ZAR 2.1 billion. These benefits were partially offset by lower volumes as a result of the stock take at the PMR in the first quarter as well as the prior year work in progress drawdown. Looking ahead to the second half of the year, earnings are expected to be supported by stronger PGM prices, a planned step-up in production, supporting higher sales volumes and the achievement of the full ZAR 4 billion cost savings. Furthermore, the insurance claim related to the Amandelbult flood event is in progress with an interim payment of around ZAR 1.4 billion expected in August. The total claim is anticipated to be between ZAR 4 billion and ZAR 5 billion before deductibles, the majority of which is expected to be received this year. We are on track to deliver the targeted savings of ZAR 4 billion in 2025, with ZAR 2.1 billion delivered in the first half of the year. The cost reductions delivered included ZAR 1.1 billion from labor and contractor costs, resulting from the flow- through benefits of the operational restructuring completed in 2024 and approximately 450 vendors off-boarded to date. ZAR 0.6 billion delivered from the optimization of consumables and efficiencies, benefiting from a total cost of ownership approach to procurement and about ZAR 0.5 billion in corporate costs and other related -- sundry-related savings. Since the launch of our 2024 action plan, we have delivered operating cost savings of ZAR 9.5 billion and a further ZAR 5 billion in stay-in-business capital reductions, enabling us to more than offset inflation for 2 consecutive years. Our cash operating unit costs declined 2% from 2024 to ZAR 17,952 per PGM ounce. This reflects our commitment to cost discipline. Including the Amandelbult flood impacts, the cash operating unit cost was ZAR 20,580 per PGM ounce. Full year cash operating unit cost guidance has been revised to between ZAR 19,000 and ZAR 19,500 per PGM ounce. We are confident in meeting the revised unit cost guidance as Amandelbult's Tumela Lower section ramps up and our operational excellence initiatives gain traction. The all-in sustaining cost for the first half of the year, excluding the impact of the Amandelbult flooding, was $962 per 3E ounce. The all-in sustaining cost at each of our operations with the exception of Amandelbult was largely in line with the prior year period despite the lower sales volumes, and each asset continues to deliver solid margins. All-in sustaining cost for the year is expected to be between $970 to $1,000 per 3E ounce, supported by the targeted cost savings, sustaining capital optimization and higher sales volumes. Looking at the one-off demerger and separation-related costs in more detail. Total one-off demerger-related costs remain consistent with the guidance we previously provided of around ZAR 1.5 billion to ZAR 2 billion for advisory costs, system separation costs and corporate identity changes and ZAR 4.2 billion for the settlement of historical services provided by Anglo American. A large portion of these costs were already accrued in 2024. In the first half, we accrued a further ZAR 1.4 billion. In terms of cash flows, we paid ZAR 2.8 billion in the first half, comprising of ZAR 2.2 billion to Anglo American and about ZAR 0.6 billion in advisory and corporate rebranding costs. And in the second half, we anticipate a further cash outflow of approximately ZAR 2.7 billion. We remain on track to deliver ZAR 1 billion to ZAR 1.5 billion in annual post-demerger run rate savings with around ZAR 1 billion expected to be realized in 2026. These savings will be driven by the phasing out of transitional services arrangements, optimized labor structures, reduced overheads as well as a more simplified operating model. Minimal dis-synergies of approximately ZAR 0.2 billion are anticipated, lowered from our previous estimate of around ZAR 0.5 billion. Year-to-date capital spend amounted to ZAR 7.9 billion. Stay-in-business capital expenditure was ZAR 2.7 billion, mainly focused on maintaining asset integrity across all our operations, extension of tailings facilities at Mogalakwena and the flood recovery at Amandelbult. At Mogalakwena, capitalized waste stripping decreased to ZAR 2.4 billion, driven by the pit optimization, reducing capitalized waste tonnes. Life extension capital was ZAR 1.6 billion and was mainly incurred on the development at De Brochen. Mogalakwena underground project capital remained broadly flat at ZAR 0.6 billion and was incurred on drilling at the Sandsloot underground. The expected capital expenditure for 2025 for the feasibility study, bulk sampling, trial mining and further drilling is around ZAR 1.5 billion. Total capital expenditure guidance for 2025 has been lowered by approximately ZAR 1 billion to between ZAR 17 billion and ZAR 17.5 billion. This is due to prudent cash management, project prioritization and more agile project execution. We started the year with a net cash position of ZAR 17.6 billion and paid a final 2024 dividend of ZAR 16.5 billion as we reset our capital structure as a stand-alone entity. During the period, cash generated from operations was ZAR 11.6 billion, excluding the one- off impacts already mentioned. This was utilized to fund ZAR 7.9 billion of capital expenditure as well as taxes and interest payments of ZAR 1 billion. We ended in a net cash position of ZAR 2.2 billion if we exclude the one-offs. However, including these, we ended the period in a net debt position of ZAR 4.9 billion. The net debt-to-EBITDA ratio was 0.3x, including the customer prepayment. And net debt was ZAR 16.5 billion, excluding the customer prepayment. Following the demerger, the refinancing process was successfully concluded. Our committed facilities amount to ZAR 31 billion with ZAR 14.4 billion drawn as at 30th June. Our liquidity headroom was ZAR 27 billion. In line with our disciplined and balanced capital allocation framework, the Board declared an interim dividend of ZAR 2 per share or ZAR 0.5 billion, equivalent to a 40% payout of headline earnings. This marks the 16th consecutive dividend payment since reinstatement in 2017, a best-in-class track record across the PGM sector that underscores our commitment to shareholder returns. I will now hand you back to Craig to take you through the rest of the presentation.
Craig W. Miller: Thank you, Sayurie. So to conclude, we expect the second half of the year to benefit from several operational tailwinds. Amandelbult is expected to be restored to normalized production during the quarter and produce between 450,000 and 480,000 PGM ounces. We're continuing to implement our operational excellence initiatives across both mining and processing assets with improvements in productivity and concentrated recoveries as well as chrome yields. We will deliver on our cost savings target of ZAR 4 billion in 2025. As a reminder, since we started the cost savings program, our total savings are ZAR 14.5 billion, of which ZAR 9.5 billion is from OpEx and the balance being from CapEx. And PGM prices have rallied and we're set to deliver into this higher price environment. In terms of our guidance, we remain on track to deliver our M&C production within our previously stated guidance after factoring in the Amandelbult flooding impact, albeit at the lower end. M&C production from our own operations is expected to be approximately 2 million PGM ounces and our purchase of concentrate between 1 million and 1.2 million PGM ounces. Refined production guidance of 3 million to 3.4 million PGM ounces remains unchanged. Cash operating unit costs, that guidance has been increased to be between ZAR 19,000 and ZAR 19,500 per PGM ounce after factoring in the impact of the Amandelbult flooding. Capital expenditure guidance has been reduced to between ZAR 17 billion and ZAR 17.5 billion, approximately ZAR 1 billion lower than what we previously guided. Our all-in sustaining unit cost remains unchanged and is expected to be within guidance of between USD 970 and USD 1,000 per 3E ounce, reflecting our confidence in delivering the additional cost savings and a step-up in production in the second half of the year. Valterra Platinum is in good shape and is well positioned to realize the value for all of our stakeholders. Our strong production profile in the second half should allow us to deliver increased volumes into that firmer pricing environment. Our focus on sustaining capital investment, prudent cost control and operational consistency from our leading integrated value chain allows us to capture the upside from this continued recovery in the PGM prices. Our extensive resource endowment is in excess of 600 million ounces and our integrated asset base with industry-leading processing capability are key characteristics of our investment proposition. Our commitment to all stakeholders is to maximize the value that we create from these exceptional assets. We've also set our medium- term target for our all-in sustaining cost of being less than USD 950 per 3E ounce and a through-the-cycle EBITDA margin of at least 25%, which should support our sustained free cash flow generation. Our self-imposed gearing target is less than 1x net debt to EBITDA through the cycle, thereby maintaining a strong balance sheet. And lastly, investing in our portfolio to maximize value is one of the strategic priorities. And to this end, we're well positioned to maintain our capital allocation discipline and prioritize sustaining capital and consistently delivering our shareholder returns. That concludes our presentation. Thank you once again for joining us. I'll hand you back to Theto to facilitate the question-and-answer session.
Theto Maake: Thanks once again, Craig and Sayurie. We will use the next session just to take any questions that you may have, both Sayurie and Craig here in front of us. Our executive leadership team sitting in the front row, I see we also have London representation through Hilton and Matt on the other side, our marketing team. I mentioned our Chairman of the Board is also here as well as Chairman of the Audit Committee should Craig need to escalate delegate upward. So with that said, as is customary, I will first take a couple of questions in the room, then move to our conference call where our moderator, [ Dennie ] will assist with facilitating that. Then at the end, I will then facilitate the questions that have come through from the webcast. [Operator Instructions] With that said, I'm opening the session to Q&As. See first, Chris and then Nkateko.
Christopher Nicholson: It's Chris Nicholson from RMB Morgan Stanley. Okay. So I've got 2 questions. Can we chat a little bit about the Sandsloot underground CapEx? Obviously, that seems to be where you've trimmed the CapEx down. What are we to actually read into that? Is this a change in scope up to the feasibility? Do you have a little bit more time to get that up from the underground -- because the pit optimization strategy? Maybe just a little bit more why you're doing that, especially given prices are higher. So there's no -- not as much pressure, I guess, to optimize CapEx right now. So I think that's the first one. And then the second one, could you chat a bit about the insurance payment, please? So just more the back end of it. So I know historically, you would have been part of an Anglo American insurance captive. Is that now part of a new Volterra insurance captive? Is this external insurers? So kind of where a little bit of the risk sits. And then the deductibles, I might understand that's an excess. Is that material in relation to that? Because obviously, ZAR 4 billion, ZAR 5 billion is going to be quite material for our valuation and net debt.
Craig W. Miller: Okay. So I'll do the easy one on Sandsloot, and I'll let Sayurie do the insurance. But yes, so Chris, as you -- as we said, we have now migrated to the feasibility study from the pre-feas. And as a result of that, our options have really been narrowed down. So as we've articulated and what we said was the likely trajectory at the Capital Markets Day was that we were then going to go for the 2 million to 2.5 million tonnes lift as our first stage of the development and then take us to the sort of the second stage, which would be then taking us up to 3.5 million tonnes and then ultimately to 5 million tonnes. So really, as a result of that, we've had the opportunity of narrowing down the scope. So it's very much focused on that first stage, which is the trucking option. And therefore, that's allowed us to sort of trim down the capsule just because of that, because of the narrowing of the ranges. But the time line is exactly what we've communicated previously. So a decision subject to it meeting our investment criteria being made in the first half of 2027. We're on track for that and then a ramp-up of that 2 million to 2.5 million tonnes by the end of the decade. And really, as we've said, we've reaffirmed some of the characteristics that we've seen from the drilling in terms of grade being between 4 and 6 grams per tonne. And that will, therefore, support the increase in volume from Mogalakwena of around about 10% initially, and we could go up to 50%. But once again, I reemphasize it is a value over volume strategy. So if the market requires that additional volume, we'll supply that into the market. Otherwise, because that will be the most value accretive. Otherwise, what we could do is rebalance the open pit and extract from the underground and as a consequence of that, ensure that we maintain a safe level of production, but potentially then reduce our all-in sustaining costs. So that's what we're sort of balancing out. But yes, looking at spending about ZAR 1.5 billion this year and then ZAR 1.5 billion to ZAR 2.5 billion, both in '26 and in '27, while we finalize the feasibility study and we've progressed some of the development -- underground development and finalize the drilling to support the investment decision.
Sayurie Naidoo: On insurance, so until the end of May, we were still covered by the Anglo American insurance structure, which was a cell captive as well. We negotiated our new insurance post that from 1st June going on. Because the flood, it was in February, we would still be covered by the Anglo American insurance. In terms of the quantum, we said it's ZAR 4 billion to ZAR 5 billion before deductibles. The deductible will vary, but it's -- we're expecting net of the deductible around ZAR 3.5 billion to ZAR 4.2 billion.
Nkateko Mathonsi: Nkateko Mathonsi, Investec Bank. I will ask 2 questions, and I wasn't [indiscernible] Maybe let me start with the marketing side of things. You're expecting a very strong second half of the year. Supply out of South Africa is likely to increase. Are you not concerned that the increase in supply could actually have a significant impact on this very strong basket price? And then if you can also talk a little bit on the change in inventory accounting, which resulted in a post-tax gain of ZAR 1 billion. Why the change? Why now? What is the most used method? I thought the stock count was the most used method by other peers. I'll leave it there.
Craig W. Miller: Okay. Perfect. I'll demark it again since Sayurie will do the stock count outcome. So look, I think we've certainly seen in the first half of the year, as you've observed, the impact of those weather-related supply disruptions to ourselves and to others in the market. But I think, what we did start to see is supply being really restored back to May -- May and June sort of supply levels are back to sort of normal levels. And then you saw the price reaction to -- in June and then in July. So I think the price reaction is more broader around actually the demand for PGMs. Certainly, supply has been impacted, but supply from both primary supply and also secondary supply is a lot lower, and that talks to the tightness of the market that we've been speaking about for quite some time. Demand is healthy. I think the outcome of achieving some of the settlements with regards to trade agreements reduces some of that uncertainty that we were expecting at the beginning of the year. So I think it only improves the economic outlook, which then should be supportive of continued PGM demand for the second half of the year. And so yes, we're focused around what we can control and provided that we can get the ounces into the market, we'll certainly benefit from that higher price environment than what we've seen previously.
Sayurie Naidoo: On inventory, so we haven't changed any accounting with regards to our inventory. So that related to the stock count. And every year, we process either a loss or a gain depending on the results of the stock take. This year, it was a gain. Last year, it was relatively similar in terms of the gain as well. And in terms of the stock take itself, everything was within our tolerance level. So I think it was nothing abnormal from an inventory stock take.
Theto Maake: Just checking whether there's any other questions in the room before I move to the conference call. I think not at the moment. I may have to come back. Moving to the conference call. Moderator, do we have any questions coming through from the conference call?
Operator: We have a few questions on the conference. The first question we have comes from Reinhardt van der Walt of Bank of America.
Reinhardt van der Walt: First one, maybe if I could just circle back again on the platinum supply-demand balance. How should we think about the market balance as Amandelbult's ramps back up again into the second half? Coming offline, I mean, it undeniably had a benefit on market balance. How should we think about the change in balance going into the second half again?
Craig W. Miller: Yes, Reinhardt, thanks very much for the question. In terms of the supply-demand balances that we articulated today, very much in line with what we said at the beginning of the year. And so with us reiterating our production, albeit at the lower end, that was really informed in those supply-demand deficits already. So I don't believe that the Amandelbult's recovery in the second half changes the deficit that we're anticipating in platinum and rhodium particularly for the full year. And certainly, it doesn't change our outlook in terms of the -- post 2025. I think it's -- we've maintained our guidance. We've been very clear around that in terms of both refined production as well. And all of that is factored into those deficits that we've articulated. I think ultimately, when you look at not only supply, but the demand is still -- is really, really healthy. We've articulated what's going on in China. I've spoken about the sort of some of the certainty that's been created as a result of entering into the trade agreement. I think that all points to a more positive outlook for the second half of the year and therefore, be able to supply the volumes that we're anticipating ourselves and others into the market will meet that sort of that demand. But those deficits don't necessarily change and therefore, should support prices for the rest of 2025 and into 2026 and beyond.
Reinhardt van der Walt: Got it. That's very clear. And maybe just my second question, just on mass pull reduction. It seems like that's going very well. Congratulations to Agit and the team. So you've previously spoken about, I think it's 120 gigawatt hours of energy savings in total. Can you give us a sense -- and I know it's not fully optimized yet, but can you give us a sense of just your first half '25 exit rate? How much of that energy saving are you realizing at this point?
Craig W. Miller: Yes. So Reinhardt -- Agit, do you want to answer the question?
Agit Singh: Yes. So thanks, Craig. The work that we've done has already materialized in with some energy savings that we're seeing. It's obviously not the full benefit. Just bear in mind that we've only had the Jameson cells running in full-scale production for at least the last month. So we're probably seeing about a 10% to 15% improvement on that, but we expect to see full realization of most of that in the second half of the year and definitely in 2027, that should be realizable. What we're seeing at the moment is very positive. So we have no reason to believe that we won't realize that, but we want to wait until we get into the full-scale production of Jameson cells in the second half of the year and move that full into 2027 as well.
Reinhardt van der Walt: Understood.
Craig W. Miller: Don't worry, we'll remind you about 2026.
Operator: The next question we have comes from Dominic O'Kane of JPMorgan.
Dominic O'Kane: Just a few questions on Amandelbult specifically. You've given us the CapEx guidance for the group for 2025, but could you maybe just give us a bit more granularity on the Amandelbult's CapEx spend in the second half of the year? And in addition, given the events of the first half, will there be a kind of rollover on CapEx into 2026 at Amandelbult? And then secondly, Amandelbult in the second half of the year, at current prices, should we expect it to be EBITDA and free cash flow positive?
Craig W. Miller: Yes. So Dominic, thanks for the questions. Sayurie just, yes.
Sayurie Naidoo: On capital, so Amandelbult's capital would obviously have been revised because we expected to spend some capital at the Tumela 1 subshaft. So that has been deferred slightly. So I think for the second half, you can expect maybe about ZAR 400 million to ZAR 500 million of capital for Amandelbult.
Craig W. Miller: In terms of economic cash flow for the second half of the year?
Sayurie Naidoo: Yes. We do expect it to be cash flow positive in the second half. And remember that a lot of it will also be attributable to the chrome impact. So I think at current chrome prices and if we deliver on the full production, it's about another ZAR 1 billion of cash flow to Amandelbult for the second half.
Operator: The next question we have comes from Adrian Hammond of SBG.
Adrian Spencer Hammond: Two questions, firstly for Sayurie. Sayurie, could you just unpack a bit more about the inventory and sales? Obviously, this has a huge impact on how we model your business. Could you just perhaps firstly clarify the ZAR 3.2 billion credit in inventory from inventory, what drove that in terms of price versus ounces? And could you remind us where your working -- your work inventory level was in December versus now and what the sort of normalized level should be going forward?
Sayurie Naidoo: Okay. So Adrian, just in terms of our work in progress inventory, so there was a buildup obviously in the first half of the year because of the PMR stock take that was in addition to what we normally would do plus the maintenance that we usually do in the first quarter. However, by the end of the year, we will get to normalized inventory levels. What you would also recognize is that, as Agit had previously said at Capital Markets Day, there is further optimization that we are looking at through the processing pipeline. So you will see our work in progress inventories probably around what we had last year or slightly lower. In terms of refined inventory levels, I think that's at normalized levels as where we ended 30th June. In terms of the ZAR 3.2 billion credit, that is a mixture of your volume because we had the buildup in inventory in the first half, and there would have been some slight price impacts in terms of your purchase of concentrate inventory. But in terms of net realizable value write-downs, we actually had a reversal of about ZAR 200 million in the period.
Adrian Spencer Hammond: That's clear. And then perhaps I don't know if Hilton is on the line, but there's obviously lots of talk about primary and secondary supply being weak. Is he picking up any forward buying from OEMs?
Craig W. Miller: Is that 3 questions? All right, Adrian. We will allow you just one time. Hilton is online, so he can explain.
Hilton Ingram: Yes. Look, Adrian. If you were looking at automotive forecasts for this year in terms of automotive growth, you were lucky to see positive numbers by forecasters. And as Craig has pointed out, we've had 5% growth in the first half. So we have seen auto OEMs in the discretionary market. They have been buying in anticipation of potential tariff implications and because forecasts have come in to the upside. So we have seen benefits in that space.
Operator: The next question we have comes from Richard Hatch of Berenberg.
Richard James Hatch: My 2 questions are as follows. Just firstly, Sayurie, just on working capital for the second half. Are you able to give us any kind of a steer as to how we should think about working cap in H2? And then secondly, I appreciate there have been some headlines around a chrome export ban in South Africa. I appreciate chrome is quite an important part for some of your mind. So I just wonder if you'd be able just to give us an update on your current sort of thinking around that and how we should be thinking about it as we move into the second half?
Sayurie Naidoo: Yes. So in terms of your working capital, so the large part of that is your inventory balance. And as I've indicated, we will see a release of the work in progress buildup that we had in the first half and the second half of the year. Our refined inventory will remain fairly flat. And then in terms of the other working capital, a large part of that is your customer prepayment, which is obviously impacted by prices as well. So that will impact that. And then your -- your purchase of concentrate creditor, again, will be impacted by prices. So I mean, assuming all things equal, those items should be relatively flat as to where we ended this year, this half.
Craig W. Miller: I think just -- and Richard, just in response to -- if that's okay, in response to your chrome question, yes, there's been a sort of proposal around introducing a chrome tax here in South Africa. I think that's very much in early stages and ourselves together with the Minerals Council and other chrome producers are having engaged conversations with government around that. So I'm not necessarily sure it's going to impact to the second half. But our view is very much we support economic development in South Africa, but at the same time, it needs to be balanced. And therefore, introducing a tax doesn't -- we believe may not necessarily create the desired outcome, which the government is trying to create in terms of the beneficiation of chrome and chrome products in South Africa. So therefore, we'll have that conversation with them, but unlikely to have an impact in the second half of the year.
Operator: The final question we have comes from Ben Davis of RBC Capital Markets.
Benjamin James Davis: Just a quick question for me on the cost dissynergies moving down from ZAR 0.5 billion to ZAR 0.2 billion. Can you just unpack what were those? Is that -- are those finance items or sort of operating costs?
Sayurie Naidoo: Yes, sure, Ben. So on the demerger dissynergies, what we had originally anticipated would be -- we'd have some dissynergies from a supply chain perspective. So we had global framework agreements with Anglo American. So we thought there would be some dissynergies there as well as from an insurance perspective. However, now that we've renegotiated our insurance, we're actually seeing some benefits as opposed to a dissynergy. And the ZAR 200 million that I indicated, that's really around more of your IT systems and those contracts that we're still working on. So hopefully, those dissynergies will be removed by the time we renegotiate those contracts.
Theto Maake: I believe there are no more questions.
Operator: There are no further questions.
Theto Maake: A couple of questions, Sayurie, Craig, that comes through the webcast. So first, coming from Arnold Van Graan, Nedbank. So on unit cost guidance. So can we use the initial FY '25 guidance as a proxy for the FY '26 unit costs pre-inflation? Or will there be spillover impact from Amandelbult flooding going into FY '26?
Sayurie Naidoo: So in terms of our unit cost guidance, I mean, we haven't provided our 2026 guidance, and we're still working towards that. But what we have indicated is from a medium-term point of view, we're looking at an all-in sustaining cost of less than $950 per 3E ounce, and that is what we're targeting. What I did indicate is that we will see some cost benefits from the demerger. So once we exit some of the transitional services arrangements, we'll see about ZAR 1 billion to ZAR 1.5 billion of run rate savings from 2027, of which about ZAR 1 billion will come through in 2026. But further to that, all the operational excellence initiatives, so your mass pull reduction, the pit optimization, those will continue, and we'll see the full benefits coming through in 2026. So yes, I mean, roughly, we will firm up our guidance by the end of the year, but we are looking very hard into all our assets to see how we can reduce costs by them.
Theto Maake: The next one is from Chris Reddy, All Weather. Anglo American has previously stated that they do not intend selling any further Valterra shares post the shares for 90 days post the demerger. Should the shares be placed, what is the potential for Valterra to do a buyback given the current low net debt-to EBITDA incoming insurance proceeds and a better second half expected?
Craig W. Miller: You want me to go. Okay I will go. So thanks very much for the question. Look, we certainly see there's value in our share price. We think that there's still further upside to go. But more importantly for us is maintaining that capital discipline and actually delivering on what we said we were going to do. So generating the cash from achieving our step-up in the second half of our production. And as a result, we'll generate the cash, and we'll assess each opportunity at each reporting cycle. And we've been very clear that our focus is around generate cash, invest sustaining capital back into our business. We've outlined what we want to do on Sandsloot, and then we'll make a decision based at the time in terms of what we will do with any extra cash whether that's in the form of an additional dividend or a potential buyback, but let's rather get to that position than doing anything now.
Theto Maake: Thanks, Craig. And then the next one Shilan Modi from HSBC. Are you trying to conserve cash given cuts to CapEx guidance? I think the question was asked earlier. And his second question is, do you need to maintain a cash balance? Can we anticipate a second half dividend equal to the cash generated in the second half?
Sayurie Naidoo: Yes. So in terms of the capital, so we've lowered our capital guidance, but that it hasn't changed in terms of our focus on asset integrity. I think we're still committed to all the projects that we had in our pipeline, but what has changed is the way we're actually executing on some of our projects. So the operating model in terms of which we're operating as a stand-alone has seen some benefits in how we can actually do projects differently using an in-source model, for example, as opposed to third parties has generated a lot of those savings. So in terms of -- so we're not really cutting back in terms of asset integrity. And then in terms of the dividend, I think Craig has already indicated, I think for us, it is if we deliver on what we need to do for the second half of the year, if we do have excess cash, we'll look at it at that point, whether it's an additional dividend or a share buyback.
Craig W. Miller: But I think if I can, just to reemphasize and to support what Sayurie said, as we said this is the 16th consecutive period since the reinstatement of the dividend that we've paid a dividend. And we've articulated our strategy and our commitment to generating value. And so we will, at every single opportunity, look at what our uses are of that capital, invest it back into the business where it's appropriate and return that extra cash to shareholders. And that doesn't -- that philosophy doesn't change. And so we'll look at it again at the end of the year once we've then delivered on our second half commitment.
Theto Maake: Thanks Craig. And then the next one is coming from Yammin, Laurium Capital. So on tariffs, so PGM imports into the U.S. were not subject to tariffs in the first draft. What are your thoughts going forward? Will PGM still be exempt from August 1?
Craig W. Miller: It almost feels like it's easier to answer the question what's the platinum price going to be at the end of the year then what the tariff is going to be. Look, I think what we have seen is PGMs initially from the proposals from the U.S. administration was that PGMs were not tariffed. They are under review. And I think there is concern out there in terms of tariffs potentially being -- PGMs potentially being tariffed, and that's been articulated through the decisions around copper. But at the moment, we just need to continue to see what that impact will be and wait for the outcome of the review. But for the moment, they're not tariffed. We have seen metal going into the U.S. in anticipation of tariffs in anticipation of that potentially PGMs being tariffed, but we'll deal with it as and when it arrives.
Theto Maake: I think the last question coming through the conference call may be related. So this one comes from [ Samuel Semenya ] from CGIC. As things stand, we are to expect 30% tariff on automotive and potential 10% additional tariff to apply to all countries aligned to [indiscernible]. How will this impact Valterra's strategy, but I think you may have answered it already. So no need.
Craig W. Miller: I think -- I mean, certainly, I think what we are seeing is certainly agreements are being reached with various governments, some of our largest markets, both in Europe, having sort of reached an agreement in Japan in terms of where some of our volumes go and where they go into the U.S. So we'll just continue to evaluate it from -- on a case-by-case basis. But it's certainly -- I'm encouraged by the fact that we're now entering into these agreements that reduces the economic uncertainty, which is there and ultimately should translate into improved sentiment towards economic growth and ultimately demand for PGMs.
Theto Maake: Thanks. I guess assuming there are no questions coming through from the room, I'm going to hand over Craig just to close today's session, just taking residual residual got. Craig, over to you.
Craig W. Miller: Thanks, Theto. Thank you very much for joining us. It's not usually that I get the last word as a Theto. But I think today is just to recognize, this will be Theto's last hosting of our results sessions. Theto will be leaving Volterra Platinum. I just wanted to extend a sincere appreciation on behalf of the executive team and all of the Board, and I know everybody at Volterra Platinum for the huge amount of work that you've done. Theto, since you've been part of us, and wish you all the very best and success as you embark upon the next phase of your journey. So thank you, Theto. Thanks very much, ladies and gentlemen. Thanks very much for joining you and look forward to speaking to you in February when we'll show you the delivery.